Richard Whiteing: Thank you. Hello, everyone, and thank you for joining SES's year-to-date 2017 results presentation. In a moment, Karim Michel Sabbagh, President and CEO; and Padraig McCarthy, CFO, will present the key highlights. After the presentation, we will be happy to take questions where we are joined by Ferdinand Kayser and Steve Collar, the CEOs of SES Video and SES Networks. The presentation document is available on the Investors Section of the ses.com website if you do not already have it. And, as always, please note the disclaimer at the back of this document. With that, I'll now hand over to Karim.
Karim Michel Sabbagh: Thank you, Richard. Good morning and welcome everyone to our third quarter briefing. In the year through September 2017, we continued to execute on our long term strategic plan and we continued to invest in and build our business for the future in growth markets, where we have a competitive advantage. Reported revenue was up 2.5%, although down 4% on a like for like basis. The net profit was up 20%, excluding the one-off gain related to the consolidation of O3b back in Q3, 2016. SES Video is reporting broadly stable underlying revenue, reflecting the strength of its established technical reach and the value of its substantial backlog of long-term contracts. SES Network has delivered 2.2% revenue growth on a like for like basis, while we continue to build out the dedicated vertical businesses and the associated pipeline of attractive solution based contracts. In the quarter, we also announced the key investment in O3b mPOWER, which will significantly expand our future addressable markets using advanced and innovative MEO satellites that will ensure our continued leadership in these financially growing network verticals for many years to come. And most recently, we successfully launched SES-11, our second use of the flight-proven Falcon 9 rocket. This is the latest of any examples of our SES as operating at the forefront of innovation with our industrial partner, the net result being that what was just the concepts some 18 months ago is now becoming the industry norm. Moving on slide 3, we can see some more details of the reported like for like growth in the revenues for each of our business units, which Padraig will explain in further detail shortly. The two MBUS are now operational and beginning to build traction across their respective market segments. Our underlying video business remains very stable, underpinned by long term contracts and established relationships with the key PayTv operators, reflecting the value that we bring to their businesses. Network delivered a positive performance in contrast to the winder industry. Steve and his team are signing new and differentiated services and a large number of these came through towards the back end of Q3 of this year. We are seeing customers attracted to the unique value proposition underscoring our thesis that satellite has a clear and compelling right to win in a much wider, let me underscore, in a much wider market than has historically been the case. On slide 4, you can see that video is continuing to make progress, as discussed at the previous quarterly results. Excluding a short-term slowdown in MX1 and other non-recurring items, the underlying revenues are down only 0.9% and are on an improving trend. We have seen a number of multi-year contract renewals, including an important extension to our partnership with Sky Deutschland and several new contracts in developing market as SES 9 and SES 10 gaining market traction. The strengths of the video business is shown on slide 5, based on the unrivaled, quality reliability and economy for our platform, which reaches over 325 million households. This is why we're continuing to see growth in the total number of TV channels in every region with even higher growth in high definition and ultra-high definition channels. The deal signed with QVC, which is a flagship shopping channel for a new ultra HD channel, is a strong proof point for the attractiveness of this format and an example of the growing number of the deals that we are now working on. This along with the increase in penetration of MPEG-4 compression means that we are improving the viewing experience of our customers across all the markets. MX1 on slide 6 is our integrated services business, combining distribution and digital media solutions and based on the integration of our media acquired last year. This is expected to deliver significant growth in this rapidly moving marketplace. It has seen lower year on year revenues in the quarter of approximately EUR9 million due to the non-renewable of certain legacy services, which we elected not to pursue as the business is being refocused on high potential growth opportunities such as the contract for managed linear and non-linear services secured with eoTV during the quarter. A new CEO, Wilfried Urner has been appointed to drive the expected growth in our MX1. He brings all the knowledge and capabilities that he successfully employed to develop and grow our SES platform services and HD+ business. HD+, which is shown on slide 7 continues to show good revenue growth based on increased subscriber numbers and higher annual fees. The extension of the service with premium Eurosport channels, including non-linear deliveries is a further demonstration of the strength and attractiveness of this platform. The business has grown significantly in scale and is now providing a unique viewing experience to more than 2 million household in the German market. The commercial success comes from the expansion of the linear offering as more and more PayTv channels have been attracted to the platform. At the same time, HD+ has expanded the viewing experienced with the addition of Ultra HD and over the top services, underscoring our thesis of next generation video following a hybrid approach. Turning now to SES Networks, on slide 8, we're seeing different short-term performance across the verticals, while like for like growth is still up 2.2%. The fixed data business is now stabilizing after a weak 2016 and despite the impact of the AMC-9 failure. We are seeing significant new business swings that will start to contribute in Q4 and certainly at the start of 2018 and Steve later on during the Q&A will have the opportunity to come upon that. Mobility continues to show strong growth, based on its market leading position and has also seen important new contracts such as Carnival cruise signing in the quarter. The government vertical has also seen some growth in the year to date based on our new US DoD business and strong deal flow in other markets. Case in point, it's the remarkable progress in building traction with the DoD for our video capabilities and as noted in the presentation you received this morning, we expect to deploy a total of 13 sites by the end of this year, up from one site back in September 2016. Beyond the quarterly performance, we're seeing great traction in our discussion with customers who are excited by the potential of our unique GEO-MEO solution based data offering. As an example, demonstrating our ability to integrate supply and terrestrial networks with cloud service providers, in October 2017, SES Networks worked with Alphabet's self-described moonshot factory to deliver reliable and high-performance connectivity to Puerto Rico in the aftermath of Hurricane Maria. The solution successfully combined, Project Loon's targeted cell coverage and SES Networks' O3b FastConnect service to restore 4G/LTE connectivity to the country, assisting the island's restoration efforts. On slide 9, we can see that behind the short-term performance is the transition from traditional bandwidth only contracts to the new more comprehensive solution contracts. In the old industry models, contracts are relatively short term with short lead times and involve the sale of commoditized capacity and with no real differentiation or consumer insight. As we move forward with our differentiated end to end solution, based on our unique combination of GEO and MEO capabilities and committed spectrum, we are implementing a new networks business model with a more comprehensive service offering. This has the highly attractive benefits of far broader services and just capacity, given much greater customer intimacy and stickiness with much longer-term contract and value based pricing. The implication of this however is that it takes longer to negotiate and implemented contract and they require higher upfront OpEx to deploy the full range of services. As a result, we're seeing a short term in revenue quarter to quarter coming through, but we're making progress on many fronts with a number of customer opportunities under development as we build the pipeline of contracts. And so, this gives us confidence and the potential of this business and its long-term credential in these very attractive markets. Our fully secured backlog of EUR7.5 billion is a strong proof of that. On slide 10, we can see an example from each of the verticals of important strategic contract wins that demonstrate the attractive range of services that we are contracting over a long period of time although having taken longer periods of customer engagement to settle. We have shown the recent strategic partnership with Carnival in mobility, Lux Dev in fixed data and the US Government in the government vertical. Finally, I would like to say a few words on the recent announcement of our investment in O3b mPOWER on slide 11. This truly exciting next step builds on our existing capabilities with the only successful non-geostationary broadband system to deliver the first global multi-terabit supplied network and certainly reinforces our position as the world leading supply enabled solution provider. It will solidify our leadership for the years to come as we continue to build our business for the long term. Finally, I would like to say that we are making good progress on executing our strategy and these results present a number of proofpoint of this which validate the route that we have chosen to take. The broader industry is in a period of dynamic transitions and companies need to embrace this opportunity to change and move forward. Our decision to channel our site into two distinct new business units with four focused verticals means that we are driving the best possible strategy for the future. As I noted in my written remark distributed earlier this morning, our goal now is to improve on execution and timing. At SES, we are fortunate to have the leading global video business which is leading, and which has a robust core with growth opportunities in international markets, solutions and platforms that will provide a firm basis for the future growth of the group. And this future growth will then be driven by the data-centric networks businesses, where we now have established the three verticals and we're finding extremely attractive opportunity to develop broad end to end solution for clients in our chosen market segments. All of this is underpinned by our innovative and efficient infrastructure and our committed expenditure to future investment that will deliver the capacity and scalability to take advantage of these opportunities. And on this note, I will hand over to Padraig to go over some of the financial results.
Padraig McCarthy: Thank you, Karim and good morning everyone. So, starting with the financial highlights on slide 13, reported revenue for the nine months was up 2.5% to EUR1.53 billion. Revenues were 4% lower on a like for like basis, which is M&A and FX movements and assumes our media and O3b were board consolidated from the start to 2016. And I will come back to revenues in more detail later. If we look at EBITDA, at 994.6 million, it was 6.3% lower on a reported basis and 5.9% down like for like with an EBITDA margin of 65.1%. Operating profit of 448.4 million included the second quarter AMC-9 impairment charge of EUR38 million, giving a reported operating profit margin of 29.4%. Excluding this, the operating profit margin was 31.9% and is in line with the prior year on a like for like basis. Profit of the group was 394.5 million, compared with 824 million years to date 2016, which included a one-off accounting gain of 495 million from the consolidation of O3b. Excluding this item, net profit increased by 65.7 million or 20% from the prior period and net debt to EBITDA remained within our financial framework at 3.29 times and the contract backlog remains strong at EUR7.5 billion. Moving to slide 14, of the overall like for like revenue decrease of 4%, the two MBUs represented half of the reduction as growth in the mobility and government verticals was offset by a lower revenue from video and fixed data and the combined networks vertical has delivered a 2.5% increase for its MBU. Lower other revenue contributed the remaining half of the variance. Other revenue was 5.7 million, in line with our expected normalized run rate of 5 million to 10 million for the full year. Having been exceptionally high during 2014 to 2016, this line returned to a normalized level in 2017. Slide 15 shows reported video revenue growing 1.1% and the key components behind the 3.8% like for like increase. From this, you can see that the underlying core recurring video business is effectively stable and on an improving trend. The higher periodic revenue from last year accounted for 19.8 million or 1.8 percentage points of the decrease and has stabilized in quarter three. The impact of satellite health mainly from AMC-9 resulted in lower revenues which impacted year to date revenues by a further 0.4%. Revenue development in the third quarter was also impacted by lower revenue in MX1 as the number of legacy services were not renewed in order to refocus the portfolio services and drive expected growth in this business unit as referred to by Karim earlier. If you exclude these short-term headwinds, the underlying video revenue for the 9 months was broadly stable at minus 0.9% and as expected, the recurring front has continued to improve throughout the year and was essentially flat for quarter three. This reflected the positive contribution from the new agreements covering the existing fees and recently launched capacity as well as the growth in HD+. If we move to slide 16, SES Network's revenue grew 12.7% as reported and 2.2% on a like for like basis. In fixed data, underlying growth in managed services was offset by the satellite health issues related to AMC-9 and lower wholesale capacity revenue. Mobility increased by 22.3%, driven by continued expansion in both aeronautical and maritime and this was supported by continued stabilization in our government business where we see continued momentum in both our US government and international business. Now turning to EBITDA on slide 17, which is 5.9% lower like for like due to the lower revenue. Group operating expenses were slightly down than last year, driven by 3.3 million reduction in the fixed cost base and the year to date margin of 65.1%. Slide 18 shows the key drivers of the depreciation expense. Reported depreciation increased 86.8 million with some offsetting drivers. On the one hand, we had a 96.7 million increase in Scope from consolidating O3b and our media and then going the other way, on a like for like basis, recurring depreciation was 9% lower across both the GEO and MEO feeds. MEO accounted for 75% of this reduction, which related to the end of the depreciation period for the first three satellites. This improvement resulted in a normalized like for like operating profit margin, being in line with 2016 at 31.9%. Moving to net profit on slide 19, net income after adjusting for the one-off accounting gain of 492.5 million in 2016, this slide shows how the reduction of 162 million for operating profit is reversed to an increase in net profit of 65.7 million. Net financing costs were 33.2 million lower, despite the increase in scope due to lower same scope financing costs. The largest contribution was in tax, which moved from a charge of 83.9 million last year to a benefit of 49.5 million this year and there are three key elements in this movement. Firstly, it reflects the release of certain tax provisions following agreement with the relevant tax authorities. Secondly, and as outlined in the half year earnings call, the recognition of a significant tax asset in relation to withholding tax in Latin America as a result of successful litigation outcome and thirdly, the recognition of certain US tax credits in quarter three 2017. Excluding these one-offs, the effective tax rate was 17.2%. The group share of associates shows a positive year to year movement of 62.5 million as O3b is now fully consolidated and finally, all this means that net profit was 394.5 million with an increase of 20% versus last year's recurring revenue. On slide 20, we see the net debt to EBITDA ratio of 3.29 times, which satisfies 50% of the hybrid bonds as debt. The contract backlog remains strong at 7.5 billion. 400 million of the reduction from the end of last year is due to the US dollar FX development. This means that the backlog on a constant FX basis has remained broadly stable as newly signed long-term contracts replaced the roll off from revenue recognized in the period. The contract backlog represents 3.7 times annual revenue with an average contract length of 8 years. Turning to the outlook for the remainder of 2017 on slide 21, we're making steady progress in executing on our strategy and building capabilities that will drive sustained and profitable medium-term growth. As outlined with the half year results, we expect the slight decline in video, including the impact of the changes in long schedule and the health of AMC-9 and in SES-86. For fixed data, the loss of the AMC-9 and lower revenue for wholesale capacity contracts along with the timing of bringing the many new contractors - network contracts into use is temporarily offsetting the underlying growth in managed services. Consequently, we now anticipate a moderate decline of fixed data, which would represent a marked improvement from last year's decline of 20% of same store. We expect strong growth in mobility and stable to slight growth in government. The EBITDA margin will be broadly in line with September year to date. As Karim mentioned earlier, SES Networks is securing different opportunities which are for greater scope and long-term growth. However, from a margin perspective, these require additional upfront investments and time to fully deploy the service before the revenue is recognized. Slide 22 covers the CapEx where there are two main differences from the version shared in February. First, we've updated the chart to reflect the US dollar and now have calculated the numbers at 150 compared to 110 previously. And this reduces the cumulative amount by 100 million between 17 and 21. And secondly, the investment in O3b in part results in a more back loaded profile before returning to a more normalized level in 2022. This updated guidance is in line with what we announced with the launch of O3b in September, with the exception of 2017 where we now expect 630 million or 30 million lower than before due to lower uncommitted CapEx. And the O3b mPOWER investment also generates in part future CapEx synergies equivalent to two replacement GEO satellites from 2021 onwards. And with that, I will hand back now to Richard for Q&A
Richard Whiteing: Thank you, Patrick. Operator, I think we can go ahead and take questions.
Operator: We will now take our first question from Paul Sidney, Credit Suisse.
Paul Sidney: I've got three questions please. Firstly, just on your outlook for video. At the half year stage, you indicated that your expected video revenues to return to growth after full year '17, commentary is not in the Q3 release. Could you just give us a bit more detail about whether you still expect video growth post full year '17? And secondly just on MX1, can you just give us a bit more detail on the thinking behind not renewing these legacy services, was this entirely your decision and clearly the timing of that, was that your decision made in the last couple of months during the quarter. And just generally on guidance, I mean, the guidance for revenues is very complex now. It's very wordy. Is there any way to give us a sort of a realistic absolute growth rates or even an absolute revenue range for 2017 and 2018, just given that there is so many moving parts just to kind of help us understand the outlook? Thank you.
Padraig McCarthy: On the first one, in terms of the question on video, so clearly, we would expect a better performance in the fourth quarter for video. We still, in the fourth quarter, will continue to see an improvement in the periodic revenue, which is what I outlined in the first quarter of the year. Periodic revenue is unlikely to fully reverse due to the fact that with the movement of traffic of AMC-9 and SES-06, this is used up capacity previously foreseen for occasion use. But nevertheless, we will the improvement in the trend that I talked about previously. Speaking about video in the full year - speaking about video after the full-year '17 and into '18 we will come back to this in February. However, what we want to stress is that the underlying video trend when you back out the two elements we've highlighted today has stabilized in the third quarter and we expect to continue to see that overall performance. Before I handover to Ferd for the MX1 question, just back on the guidance for the full-year, Paul. I think in order to help everyone what I would say is, the way to look to full-year is that, if you think about the last quarter that there is some tough comps against Q4 '16 or challenging comps against Q4 '16, we had the GE first tranche of payments which is about 4% quarter to quarter and if you look at Q4 '17 versus Q4 '16 with AMC-9 health we have lower order. All this represents about 8% challenging comp for the quarter. Now on the other side, networks business is being signed and we're bringing that on board as we said. The underlying video is pretty much stable now. And we see a positive contribution there and we see some of the periodic reversal coming out. There is still some variability on it, linked also very much to how we bring the networks contracts on board. So, I think from the visibility point of view right now I would say that it's such that the final result could be on either side of the year-to-date change that we had versus September year-to-date. So that's kind of how to think about it. there are some variability still left. But you should think of it on being on either side of that minus 4%.
Paul Sidney: Just on that - sorry, Padraig, minus 4% so you may either side of that for the full year as a whole like for like?
Padraig McCarthy: Correct, correct. With that I would hand over to Ferd on the MX1.
Ferdinand Kayser: So, the negative impact from MX1 is coming from non-renewals of legacy contracts mainly lower value reseller contracts. And as we want to refocus the portfolio of services of MX1 on differentiated growth opportunities consisting mainly in offering to our customers kind of unique combination of those traditional broadcast and IP based end to end solutions for those linear and non-linear content distribution.
Operator: We can now take our next question from Sarah Simon from Berenberg. Please go ahead.
Sarah Simon: I've got a few questions as well. The first question was, CapEx been updated for the fact that SES-16 is now not going to launch until next years, so that slipped a quarter. The second one was the Carnival deal, so you said, and I think we understand that it takes longer to recognize the revenues now. When did so - you signed Carnival, but when do you think that's going to start generating revenue. And can you just explain only MX1 non-renewal, should we assume that the non-renewal headwind is kind of the same as we saw in Q3 also in Q4, 1, 2, because I'm assuming that these weren't necessarily sort of periodic, but they were actually annual contract. So, should be assume that kind of quantum of drag continues at least through to the annualized sort of figure? Thanks.
Padraig McCarthy: Yeah Sarah, so just on SES-16, yes that's correct. There is not a final date set for SES-16, but we do see this potentially slipping into the first quarter.
Sarah Simon: So, can CapEx still be lower than the 630 guidance than?
Padraig McCarthy: Sorry, excuse me.
Sarah Simon: So, I assume that the CapEx of 630, is that reflecting a Q4 launch or a Q1 launch because there will be a delta then again depending on when it launches.
Padraig McCarthy: That is reflecting an early Q1 launch. It doesn't change, it doesn't change the CapEx a lot because the important CapEx out there for the end of the project is the payment of the launch insurance, which is, in any case, paid some time before the launch itself. So, we would not anticipate - yeah, a significant change in the CapEx.
Steve Collar: This is Steve, I'll take the question on Carnival. So, we're super excited about this deal. It's a deal where we're actually partnering with the Medallion team in Carnival to develop the MedallionNet service for Medallion chips. The first one will push out from the dock on the 13th of November and that will have the full MedallionNet service it is the first time we combined MEO and GEO in very integrated and seamless way across the vessel. It's also the first time that there will be truly pervasive Wi-Fi onboard ship. So very, very and the answer to the question is we'll start generating revenue of the 13th of November.
Sarah Simon: I'm sorry how many ships does this covering?
Steve Collar: So, we haven't talked about that. But I would say this is a development that is planned around a service as opposed to a specific ship
Karim Michel Sabbagh: And, Sarah, regarding your question, regarding MX1, so, yes, the impact will be lower as we have been signing off new business.
Sarah Simon: So, the next amount will get less, if we think about aside from the growth, would it be the same in each of the four quarters from the Q3?
Padraig McCarthy: In terms of the renewal impact, yes because that would have been a contract, it would have been a contract that would be longer than one quarter. So yes, you will see renewal impact. But on the other hand, we continue to sign new business, so overall the net impact will be better.
Operator: We can now take our next question from Nick Dempsey from Barclays. Please go ahead.
Nick Dempsey: On AMC-9, I wonder if you can just remind us again of the size and impact - size of the impact of that and which division that's falling. I think in the first half that was having more of an effect from SES Video, but it seems to have had a fairly heavy impact on fixed data in Q3. And then just a follow on to that I mean minus 14% organic growth in fixed data in Q3, I wonder if you can break that down into AMC-9 and then other facts and explain that other effects. Are you seeing pricing in GEO data getting worse and worse? And the last question, I think we heard from Telefonica this week that they're actively looking to switch PayTv customers in Brazil from DTH to fiber. Is that a trend that we should worry about for your Latin American DTH business going forward?
Padraig McCarthy: So, I'll take the first on the AMC-9 generically and then I think Steve will take networks. So, on AMC-9, Nick, what we've guided half year is an overall impact of 18 million for the full year where we said that two-thirds of it is in fixed data, one third of it is in video. And that's what we're seeing now in the - predominantly coming to an effect last year was a little bit in the second year but it wasn't really material and that's what we're seeing now in the third quarter results.
Steve Collar: In the quarter to quarter comparisons for the '16 to '17 it's - we're not - it's - you can't read too much into that, about two-thirds of that impact is associated with AMC-9 and the remainder is for the continuing washout of pricing impact that you've seen on wholesale transponders. In some of the regions I would say, in particular Africa. But the important thing is, we're not seeing that in the trends going forward. We closed a significant amount of business in fixed data over the course of the last couple of months. I would highlight a couple as being pretty significant one, a multi-gigabyte multiyear commitment for really core infrastructure which is great deal you'll be hearing over the course of the next month or so. We've also increased our service into Africa across our MEO fleet by two gigabytes over the last two months. And we've seen significant deals with our Orange in Central African Republic and with Compudyne in Malaysia on SES-9 in the quarter. So, the trend in fixed data are positive. We're closing significant business, I think '16 to '17 comparison is sort of historic and related to AMC-9 rather than the trend of the business we see going forward.
Nick Dempsey: So, we should see growth there in '18 Steve?
Steve Collar: Yeah.
Karim Michel Sabbagh: And regarding Telefonica in Latin America we consider this as a kind of unique development. So not reflecting a general trend at all. First of all, as of this month, the pace of the fiber rollout is highly constrained at telcos are preparing to invest in in mobile networks, in terrestrial network. And then on the other hand, the ubiquity of the regional satellite is unbeatable. So, this is a kind of unique development not impacting the business of others in Latin America.
Operator: We can now take our next question from Patrick Wellington from Morgan Stanley. Please go ahead.
Patrick Wellington: A couple questions, firstly, looking at the RR Media acquisition, we've seen a few downgrades to revenues at RR incorporated into MX1 and I noticed a founder left recently. Do you think you need to impair the value of that acquisition? Secondly, just looking into next year's revenues, as Sarah was saying, I mean we seem to have at least two more quarters of MX1 sort of 7 million a quarter to come off our number. We've got another satellite delay with GovSat. We've got lower or sort of longer execution contracts in the networks business. So, really, we should be looking at I think a more modest growth rate for next year. Do you agree with that? I think consensus is about 2.5% at the moment. And then thirdly, I'd like to focus on the word broadly, which we hear quite a lot at SES, broadly the margin is going to be 66.7% and broadly video is flat. Although if I take out a lot of bad stuff, you're still declining at 0.9% in this quarter despite all the good things that are happening. So, I mean what sort of flexibility is there on broadly, because it seems to me that the EBITDA margin faces a tough comp in Q4. And that you're really struggling to get much more over 65%, you got those impacts next year. And similarly, your video business despite all the good things are happening, even when you strip out the bad stuff is actually still declining. So, what are the factors in there?
Padraig McCarthy: So, Patrick, good morning. It's Padraig here. I'll take your first one and your last one. And Karim will speak about 2018. So, the answer to the first one is no, there is no risk of an impairment in our media. Overall this is a very good business, it's a very good strategic fit for us. And it's allowed us to create MX1 by merging SES and RR Media together and giving us really the global reach and scale that we have today. And on the last question, just to be specific, and not use the word broadly, but to be specific, what we are saying for 2017 on the margin is that you should thinking about margins which is more or less round that's the 65.1% that we've reported for the nine months with the explanation as to why that's lower and I think in response to the quick from Nick in the second half, I said that we are thinking about 66%. So, the reason why it's a bit lower is as we said earlier we are building in particular the networks business. We're building the front end, we're building the infrastructure that we need to do for many new contracts that Steve has outlined and there will be a bit of disconnect between that OpEx is spend and how that revenue is coming in. And then maybe Karim, I'm going to hand over to you for '18.
Karim Michel Sabbagh: So, Patrick, the short answer would be we don't want to be running ahead of our skies on '18. We are going to have the opportunity to discuss this with all of you ladies and gentlemen in February of next year. what I would underscore on this call is the following, one is, we have a strong condition now of our core video business. When it comes to our MX1 businesses and all the additional media areas it is by design that we want to focus these set of activities on the areas where we have the right wing where we can differentiate. And as I've said many times in the past, in the areas where we believe it's commoditized, we will deliberately exit. If it doesn't make sense for us, so we can refocus on our resources. And that same reflection happened on the network side and is allowing us to minimize the scope of the business we have in wholesale and double down on all the differentiated areas whether it's in fixed data as presented by Steve earlier whether it's in mobility or in government. So, we have a strong foundation going into next year, Patrick. But I would invite you not to sort of run ahead of your skies on this one and have an adequate window to have this conversation in February next year.
Patrick Wellington: Karim, I remember this time last year, I think this is in relation more to the video business that we started talking about long-term contract fulfillment and you're going to miss the full-year number because some projects we're going to take a bit longer to develop. And a year later we've kind of got the same reasoning again. So is this - I mean this is just a generic to the business there and is it actually a new factor that you're highlighting.
Karim Michel Sabbagh: So, I remember vividly the conversation we've had last year Q3 2016 where we were talking about the lead time for incubating, engaging and competing in a number of very important contracts in data centric or network centric agreements. And the one we are referring to back then, if my memory serves me well, it was mobility and fixed data related. And in fact, it did materialize in the following quarter. So that was really the extend of our conversation. And it is paying out because already we've seen in networks by doing this and we presented exhaustively in our presentation today. Notwithstanding the fact that it takes longer, so you move from a six months incubation of these opportunities to a year to possibly two years, and some of the important wins that we have announced today, and we've announced during Q3 took literally two years to incubate. They are much more strategic, much higher value in terms of accretiveness to our business and gives us tremendous customer intimacy which effectively means that we can better customize these solutions are that. I can give you one concrete example, so everyone can appreciate what I'm referring to. Back in September 2016, SES Network or the predecessor of SES Network had deployed one site for the Department of Defense, one site or for the US government I would say in general. By the end of this year, we would be deploying a total of 13 sites if not more. And for those of you who model that part of the business you should appreciate the difference between a single site and 13 sites. And so was it worth the investment of two years in terms of working with the Department of Defense and the US government to incubate these opportunities. Absolutely yes, because it gives us a very differentiated proposition, a seat at the table where we can work with our client to influence the design of these solutions. And at the end it becomes a self-enforcing group, because the more you deploy the solution, the more stickiness there is and more pull for more competitive solutions across the world. Steve…
Steve Collar: [indiscernible] certainly understand Patrick, sort of the question and sort of the implied frustration, but it couldn't be more - have a stronger conviction that we're on the right track in a number of these areas and the sort of the two years it's taken us to build a portfolio and to Karim's point, a seat at the table with the US government for example around our MEO capability has been a very, very time consuming, a very intense sort of activity and we're seeing the fruits of that now and we sort of similar initiatives to that I would say that are sort of coming through the pipeline similarly. So that initiative is really going to start contributing meaningfully going forward now, the step up in activity and the step up in engagement and deployment for the US government is significant and it's a great example of what Karim referred to.
Operator: We can now take our next question from Laurie Davison from Deutsche Bank. Please go ahead.
Laurie Davison: The first question is just going back to video. So even if we adjust for MX1 lower periodic, the health issues as well. Video is still running negatively. Now if UHD is growing, emerging markets with the Ukraine win, you stated are growing, HD+ in Germany is growing. What are the offsets here that we're missing? And why those going to change for FY '18. Second question just on the Sky Deutschland renewal, Sky states that the renewal was consistent with overall cuts in transmission costs. Renewing early sounds fair, without increasing capacity sounds fair odd. Can you confirm you're receiving higher per annum payments from this deal, which you described as favorable? And then thirdly just on dividend per share, consensus has in a growth in dividends for this year, I'm just looking at FactSet consensus at the moment; it has got 1.37 EPS for this year. Are you still happy with consensus having growth in the dividend for this year? Thank you.
Padraig McCarthy: So, Laurie, I'll take the first one in terms of just the numbers around the underlying video and with that, I'll hand over to Ferd for some more color on that and also on the Sky contract. So, look in the third quarter as we said, we saw recurring video more or less flat. And then your specific question is indeed we have positive development in HD+, we have positive development in the ramp up of SES-9 and ramp up of SES-10. Ultra HD now is also beginning to come true. On the other hand, what we've seen is that and I mentioned that also in the first quarter call that we did have a number of transponders revert in the last quarter of last year. And so, that is going the other way, but on that one we are beginning to see that capacity recontracted. For example, we announced earlier this week the contracting of additional capacity for QVC which is on one of those transponders which is being recontracted. So, the trend is going in the right direction. All the elements you've indicated are positive growth accelerators, and in the part, which is beginning now to reverse in the positive side is the impact of some of the reverse capacity we have in Q4 of last year. Maybe before I hand it over Ferd, just to deal with dividend. So, the board's ambition here to deliver a consistent and deliver progressive dividend policy over the longer term. The allocation of annual profits we do that annually is done by the board in February. And we said many times, the decision takes into account a number of criteria and these are I think well known. It looks at what the dividend cover, what's the payout ratio, what's the leverage and what's the alternative use of cash. And so that's the policy we are applying, and we will continue to update you on that in next February. So, with that maybe Ferd if I could hand over to you on for a bit more background.
Ferdinand Kayser: So, on the Sky renewal, what we are doing when a blue-chip customer like Sky has capacity which is up for renewal is the following. And in this case, there was seven transponders up for renewal at different moments in time during the 12 to 18 months to come. So of course, we do not wait until each of the individual transponders expire but what we do in fact we add a certain moment in time, somewhat in advance, we discussed with the customer to renew a package and this case the package of seven transponders. What is important to note is that in this case the contract terms fully reflect the value that we are bringing to the customer Sky Deutschland in this case. And that it is 10-year deal for seven transponders we tried to renew it, which reaffirms Sky's long-term commitment to satellite.
Laurie Davison: Sorry, that doesn't really answer the question, are you seeing higher per annum payments, I'm not expecting you to say how much but are you seeing higher payments?
Ferdinand Kayser: No, it is about the entire package of terms, which reflects the value we are bringing to them.
Operator: We can now take our next question from Sami Kassab from Exane. Please go ahead.
Sami Kassab: Two questions please, can you share with us the like for like growth in mobility in Q3 and what has driven that performance, it looks perhaps as if it was down. And secondly, across the industry from EchoStar to ChinaSat to SES we have seen in recent years that the Lockheed Martin A2100 platform was causing severe technical issues. And indeed, most of your health issues you've had where on this platform. So, can you remind us how much revenues do you still generate from satellites running on that platform please?
Steve Collar: So, it's Steve. I'll take the question on Mobility. Again, what I would highlight is for the underlying trends that we have in mobility are very positive, we've got some great sort of aero business which is coming online as we launch SES-15 - well, not the launch, bring into service SES-15 very early in 2018. The Cardinal deal kind of reinforces our I would say premium poisoning crews and there are some other exciting business sort of coming on there as well. In terms of the Q3 '16 to Q3 '17 comparison, we had some one-off revenue that was associated with some equipment for Royal Caribbean in Q3 '16 which sort of bolstered I guess number. But as I say, the underlying trend in mobility is strong and I think we've 22% year-to-date growth in our mobility business, it's a very exciting I would say part of our business going forward.
Karim Michel Sabbagh: And Sami on your second quarter regarding AMC fleet, so we do not provide data regarding the revenue on that particular fleet. What I would say is the following is, we have a model as how every single spacecraft in our fleet is aging and obviously in the case of AMC spacecraft we have a model that takes into account the health-related elements that we have proactively highlighted over the years. And these models also inform how we want to project the revenue generation potential on these spacecrafts. And this reflects the guidance that we provide. There are going to be cases where these spacecrafts perform better than the model that we have in some cases there are spacecraft where there are elements were events are happening ahead of the model. And we were always very proactive about these things. So, I would leave it there. The good news is that this is now a very small part of our fleet. We do appreciate that we have the opportunity to read your report and the one suggestion I would have for you is that you touch base with Richard because the number that you are shaping in your reports to the AMC fleet is not reasonable. So, I would suggest that you touch base with our investor relation team to better inform you a perspective on this.
Sami Kassab: It's based on the average and the for lack of batter I had to use the average. Thank you.
Operator: We can now take our next question from Wilton Fry from Royal Bank of Canada. Please go ahead.
Wilton Fry: Please can you give us an update on the legal situation with the former RR Media executives you're suing? Their defense statements have made some pretty defamatory remarks about bribery at RR Media. What I'm particularly interested in is whether your tighter management of MX1 had led to a number of these contracts being cancelled, if that's the real reason for this step down that you're referring to today. And I guess related to that do you have any potential legal liabilities around the conduct of RR Media? Thanks.
John Purvis: It's John Purvis here. We obviously can't talk about the specifics of the litigation. But there is no connection and think it is typical in litigation sort of claims are made but there is no substance to them and we remain very much in course with MX1 and RR Media.
Karim Michel Sabbagh: So, one way to think about it is, in the same manner that in the fixed data business we have proactively elected to transition half of the wholesale business and we've very transparent about this. In fact, I've been using the word de-maturing that part of the business. I do appreciate sometimes it's difficult to understand what I was trying to convey. We are not interested in continuing to serve client in parts of the markets where it is commoditized where we cannot differentiate, and we will apply that to across our entire portfolio. And there are two areas that we have been proactively acting against, one is, in the wholesale business. And we've made significant progress and the and the network guys have sort of brought on board much more significant and relevant and accretive business for us. And we're doing the same thing now with MX1 that's really the extent of - the litigation is a very separate topic, there is always going to be in corporate lives, litigations. And we're transparent, we're proactive about it and as we progress of this front, we would update the investment community on these progressions
Operator: We can now take our last question from David Strauch from Credit Agricole. Please go ahead.
David Strauch: Actually, your net debt to EBITDA ratio has been eroding to one of the maximum threshold over the past few quarters and it could further erode a little bit in the coming quarters depending on the headwinds you're seeing. So, you could be above 3.3 [ph] times, will you be ready to react to prevent it or could you accept temporary exceeding the 3.3 because you expect that you will go back down '28.
Padraig McCarthy: So, David, it's Padraig here. So, our financial framework foresees managing the debt EBITDA at 3.3 times, I was going to say around, but in deference to your comment, I'm avoiding the use of word round. It's managing at the 3.3 times. What's important here is that we're managing it over a period of time at 3.3 times. So, don't rule out that there will be a quarter that will above 3.3, we don't rule out that we'll below. And again, to put this in context, this is a level which we have taken in our business, if you look at it from the point of view of the levels that are applied vis-a-vis the different investments grades and the investment-grade ring. That level is much higher as you know the level is I think typically 3.5 times. So, 3.3 is the guideline and that's how we continue to manage the business, but we don't conclude that one quarter is below.
Operator: There are no further questions in the queue, I'd now like to turn the call back to the host for any closing remarks.